Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Sun Life Financial’s Q4 2012 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. (Operator Instructions) I would like to remind everyone that today’s conference is being recorded. I will now turn the presentation over to Phil Malek, Vice President of Investor Relations. Please go ahead, sir.
Phil Malek: Thank you, John. And good morning, everyone. Welcome to Sun Life Financial’s earnings conference call for the fourth quarter of 2012. Our earnings release and the slides for today’s call are available on the Investor Relations section of our website at sunlife.com. We will begin today’s presentation with an overview of our results by Dean Connor, President and Chief Executive Officer of Sun Life Financial. Following those remarks, Colm Freyne, Executive Vice President and Chief Financial Officer, will present the fourth quarter financial results. Following the prepared remarks, we will have a question-and-answer session. Other members of management are also available to answer your questions on today’s call. Turning to slide two, I draw your attention to the cautionary language regarding the use of forward-looking statements and non-IFRS financial measures, which form a part of this morning’s remarks. As noted in the slides, forward-looking statements may be rendered inaccurate by subsequent events. Turning to slide two, I draw your attention to the cautionary language regarding the use of forward-looking statements and non-IFRS financial measures, which form a part of today’s remarks. As noted in the slides, forward-looking statements may be rendered inaccurate by subsequent events. And with that, I’ll now turn things over to Dean.
Dean Connor: Thanks, Phil. And good morning, everyone. Yesterday, Sun Life reported results for the fourth quarter of 2012 with operating income of $453 million or $0.76 per share on a fully diluted basis. Operating income excluding the impact of market factors was $420 million, an increase over the $405 million reported last quarter. Operating net income for the full year 2012 was CAD1.679 billion and operating return on equity was 12.3%. We generated strong top-line growth in the fourth quarter. On a constant currency basis, total life and health insurance sales were up 12% to CAD662 million of premium. Total wealth sales were up 60% to CAD29.5 billion and adjusted premiums and deposits were up 49% year-over-year to CAD34 billion. Total assets under management reached CAD533 billion at year-end. 2012 was a transformational year at Sun Life, and I’m pleased to say that we’ve made significant progress in each of our four pillars. Starting with Asset Management, the MFS team had an exceptional year, achieving record gross sales of $86 billion with strengths in both institutional and retail flows. Gross sales in the fourth quarter were $26.2 billion which included the onetime inflow of $6.7 billion from Sun Capital Advisors. Assets under management ended the year at an all-time high of $323 billion. MFS continues to gain recognition for their outstanding performance. In Europe, they were named Equity Manager of the Year by Financial News for the second time in three years. I’m also pleased to report that in the recently released Barron’s/Lipper annual ranking of fund family, MFS was in the top 10 fund families for one year performance in 2012 for the second year in a row, the only company to repeat a top 10 ranking in 2011 and 2012. MFS was also one of only two companies to rank in the top 10 for each of 1-year, 5-year and 10-year performance. Sun Life Global Investments Canada completed its second full year of operations with gross sales of CAD2.5 billion and client assets under management growing to over CAD6 billion. We made significant progress in Asia expanding our footprint. Last month, our joint venture, Life Insurance Company, with PVI Holdings in Vietnam received regulatory approval to start operations. Vietnam’s life insurance market is poised for growth providing an excellent opportunity for PVI Sun Life. In January, we announced the strategic partnership with Khazanah Nasional to acquire 98% of CIMB Aviva in Malaysia. This expands our footprint in Asia to seven markets, including four of the ASEAN countries. Malaysia offers excellent opportunities for long-term growth with the fast-growing economy and middle-class, and we couldn’t think of two better partners than Khazanah and CIMB. Insurance sales in the Philippines for the full year were up 67%, benefiting from agency expansion and the successful integration of the Grepalife acquisition and bancassurance joint venture. We maintained our number one position in life insurance sales in this market. In the United States, we achieved key distribution and operational milestones that we set for 2012 in both employee benefits and voluntary benefits. In combined sales for the full year, we’re up 26% over the prior year and voluntary benefit sales finished the year at CAD141 million, up 81% over prior year and well ahead of our targets. We expanded the distribution organization to almost 200 sales professionals, adding experienced group sales reps in building our voluntary benefits distribution force, as well as establishing a small business center for group insurance. We also launched five new products and expanded our enrollment capabilities. In December, we announced the agreement to sell our U.S. Annuity Businesses. And this transaction represents the transformational change to the company’s business and marks real progress towards improving our risk profile and reducing the volatility of earnings. Our Canadian operations performed very well across all businesses. Individual life and health sales for 2012 grew 6% over 2011. And we moved into the number two position in life and health sales. Individual insurance and investments also successfully repositioned its product portfolio for a lower interest rate environment and, at the same time, shifted to a more profitable mix in both insurance products and wealth. And you see this coming through in terms of improved new business strain. We grew our Career Sales Force by 119 advisors in 2012 while at the same time improving the productivity of our existing advisors. Sales in Group Benefits were up 7% through the year, 36% for the quarter, with excellent retention across all segments. Business in force stood at CAD7.7 billion, solidifying our position as the number one group benefits business in Canada. As you can see on slide 17, our combined business in force for both U.S. EBG and Canada Group exceeded CAD10 billion at the end of 2012. We retained our number one position in Group Retirements Services with sales up 3% and assets under administration of CAD54.7 billion, up 11% from a year ago. Wealth rollover sales were up 26% in Q4, representing the highest discreet fourth quarter sales since the creation of this business. Sun Life continues to be a strong and well-capitalized company with a minimum continuing capital and surplus requirements ratio of 209% at Sun Life Assurance as at December 31, remaining well in excess the regulatory requirements. I’m pleased to announce that the Board of Directors of Sun Life Financial has approved the quarterly shareholder dividend of CAD0.36 per common share, maintaining the same level as the previous quarter. So, in closing, I’d like to emphasize that we’ve been moving quickly to execute on our growth strategy. As we begin 2013, we recognize that there is still plenty of work to be done and we remain focused on executing on our strategic priorities in our four pillars. And with that, I’ll ask our CFO, Colm Freyne, to walk you through the financial results in more detail.
Colm Freyne: Thank you, Dean, and good morning, everyone. Turning to slide five, yesterday, the company reported operating net income of CAD453 million or CAD0.76 per share, and operating return on equity of 12.9% for the fourth quarter of 2012. Operating net income for the full year was just under CAD1.68 billion with an ROE of 12.3%. As a result of the recently announced agreement to sell our U.S. Annuity Business, that business is now classified as discontinued operations in the company’s income statements. And the assets and liabilities of the business are classified as held for sale on the balance sheet. Our go-forward businesses are referred to as continuing operations. Given that the sale was announced very late in 2012, the presentation this morning will focus primarily on the combined total company results. Our capital position remained strong as we ended the fourth quarter with net MCCSR or Minimum Continuing Capital and Surplus Requirements ratio of 209% at Sun Life Assurance Company. The change from the ratio of 213% at the end of the third quarter is attributable to the final impact of the IFRS conversion phase-in and segregated the fund to capital usage caused by the aging of the in-force block as disclosed in prior quarters in 2012, as well as the impact from the reduction in the ultimate reinvestment rate in the fourth quarter. The IFRS phase-in is now complete and we expect segregated fund capital usage will be significantly reduced going forward. In 2013, we expect to have a onetime benefit of approximately three percentage points of MCCSR from the reduction in lapse capital requirements which is effective from January 1. And we also expect to have a reduction of three percentage points of MCCSR phased in over eight quarters due to the impact of the change in accounting for defined benefit pension plans. As of the end of the fourth quarter, we continue to have a strong level of cash resource of the Sun Life Financial, our holding company, to fund our dividend payments and other corporate obligations. On slide six, operating net income excluding the impact of market factors was CAD420 million in the fourth quarter. Net equity market impacts resulted in an after tax gain of CAD49 million. This impact includes a CAD14 million contribution from positive basis risk due to fund outperformance versus the relevant hedging instruments, and CAD35 million of gains primarily from the outperformance of underlying variable annuity investments versus their benchmarks and lower than expected volatility. Equity market gains in the quarter were offset by the negative after-tax impact of CAD51 million from interest rates. We experienced unfavorable movements in credit and swap spreads and the impact from the 10-basis-point decline in the ultimate reinvestment rate of CAD44 million, which we had previously noted, and which was offset by a contribution of CAD33 million from higher risk-free rates. We have updated our disclosure regarding the potential impact of the continued low-interest-rate environment on our net income through 2015. If current very low rates persist, our net income for our continuing operations from 2013 through 2015 would be reduced by approximately CAD350 million in total, down from our previously disclosed impact of CAD500 million. This improvement is due to slightly higher interest rates, the impact of methodology changes in our business in Asia, and the sale of our U.S. Annuity Business. Income in the fourth quarter included after-tax net gains of CAD20 million from increases in the fair value of real estate classified as investment property in our Canadian operations. Actuarial assumption changes driven by capital market movements had a positive impact of CAD15 million on our net income. These changes represent refinements to our economic scenario generator for interest rates implemented last quarter. Slide seven outlines other notable impacts to earnings in the fourth quarter of 2012. The impact of investing on insurance contract liabilities resulted in a positive contribution of CAD46 million. These gains came from actions taken to extend the duration of our assets to better match our liabilities and increasing the yield on investments over what is assumed in the valuation of the liabilities. The net favorable mortality and morbidity experience of CAD5 million was driven by the unfavorable experience in the U.S. and the UK, partially offset by a positive experience in our Canadian Group Benefits business. Positive credit experience contributed CAD11 million after tax to earnings in Q4. This favorable impact is attributable to the release of best-estimate reserves in excess of downgrades and impairments in the quarter. Lapse and other policyholder experience resulted in a negative impact of CAD16 million, primarily from higher lapses on U.S. corporate-owned life insurance contracts and Canadian individual life. Higher expenses from investments in growth and other project costs, a number of onetime items and seasonally higher expenses resulted in a CAD67 million experienced loss in the quarter. Project-related costs were elevated due to items such as Solvency II in the United Kingdom and investments in voluntary insurance growth initiatives in the United States. We traditionally see seasonally higher expenses in the fourth quarter each year including expenses relating to year-end sales and the annual compensation cycle. Other assumption changes and management actions are composed of non-market-related items that have not been called out on the previous slide. These updates relate primarily to a number of refinements to assumption changes made in the third quarter of 2012 including refinements to mortality and morbidity assumptions and the modeling of swaps in our U.S. life insurance block. Moving to slide 8, we provide details on our sources of earnings from operating income. Expected profit of CAD489 million increased by CAD51 million from Q4 of 2011 and was in line with our results in the third quarter of the current year. The year-over-year increase is mainly attributable to higher assets under management at MFS and the positive impact of the reserve hedging methodology change implemented at the end of 2011. New business strain was CAD27 million, representing a significant improvement over the CAD81 million reported a year ago and the CAD46 million reported in the third quarter of 2012. The actions we have taken in recent quarters to close our U.S. variable annuity and individual life businesses to new sales, as well as the repricing actions in our Canadian individual insurance and investments business, have had a positive impact on new business strain over the course of the year. The experience losses of CAD27 million reflect the net pre-tax impact of capital markets and other experience items described on the previous slide. Assumption changes and management actions resulted in reserve releases of CAD113 million before taxes. Earnings on surplus of CAD78 million were lower than the fourth quarter of 2011 due to the higher realized gains and available-for-sale securities a year ago. Turning to slide nine on the results by business group. SLF Canada reported operating earnings of CAD149 million, down from the CAD182 million recorded a year ago. Earnings in the fourth quarter were negatively impacted by the CAD44 million due to the decline in the ultimate reinvestment rate, partially offset by improved new business strain and the favorable impact of investing and higher yielding assets. Our U.S. operations reported earnings of CAD211 million compared to a loss of CAD511 million a year ago. Positive impacts from market factors, reduced new business strain and investing in higher-yielding assets were partially offset by negative impacts from expense and morbidity experience. Operating earnings from MFS were CAD85 million, up from the CAD68 million reported a year ago. This increase was primarily driven by higher average net assets under management. Margins were strong at 35% and up from 32% a year ago. Operating income from our Asian operations was CAD50 million compared to income of CAD44 million in the fourth quarter of 2011 as a result of lower new business strain from improved sales mix in India and lower sales in Hong Kong and China, higher earnings from the Philippines, and the net positive contribution from experience gains. Our UK operations reported operating income of CAD28 million compared to income of CAD71 million a year ago. Results in the fourth quarter of 2011 reflected a significant onetime tax benefit of CAD59 million. Corporate support included under the corporate segment reported an operating loss of CAD70 million compared to a loss of CAD75 million a year ago. On slide 11 in the appendix to the presentation, we have provided a view of the results for the discontinued operations. You will note that our discontinued operations have reported net income of CAD180 million for 2012, which includes impacts from market factors and other experience and assumption changes and management actions. After the anticipated pre-closing transactions and other adjustments on sale, the expected annualized impact from the sale of the discontinued operations is a reduction in the earnings per share of approximately CAD0.22 as we have disclosed to you in December. I would remind you that these adjustments will not have occurred for the first quarter of 2013 as they include the anticipated debt redemption in June of this year, deployment of the cash proceeds and the transfer of certain retained assets from the discontinued operations of the continuing operations. Because these adjustments will not have occurred in the first quarter, the earnings per share attributable to discontinued operations will likely be higher by approximately CAD0.02 per share in the first quarter. Finally, on slide 12, you can see that our disclosed sensitivities have improved significantly as a result of the sale of a U.S. Annuity Business. Of particular note is the equity market sensitivity where the negative impact of a 25% decline has improved to CAD150 million from CAD400 million disclosed at the end of Q3 and the negative impact of the 10% decline has improved to $50 million from CAD150 million at the end of the third quarter. I’ll now turn the call back to Phil for questions and answers.
Phil Malek: Thank you, Colm. We’d like to ensure that all of our participants have an opportunity to ask questions on today’s call. So, I’d ask each of you to please limit yourself to one or two questions and then to re-queue with any additional questions. With that, I’ll now ask John to please poll the participants for their questions.
Operator: Thank you. Your first question today comes from Robert Sedran with CIBC. Please go ahead.
Robert Sedran – CIBC: Good morning. You disclosed a fair number of different costs at the earnings, but the one I want, I can’t seem to find anywhere. So, is it possible to get the earnings from continuing operations excluding the impact of the market? Because it looked a little on the weak side, and I’d like to know how much of that might have been related to URR build or other market forces on the quarter.
Colm Freyne: So, you quite rightly point out that we have a lot of disclosure in the first – in the fourth quarter, reflecting the discontinued operations, continued operations. And I think you’ve raised the question around what is the best way to look at that. Rather than trying to recreate a new exhibit for you on the phone here, I’d certainly be happy to talk you through some of the ways of thinking about the discontinued operations to get you back to something that you could, I guess, subtract from the core earnings adjusted for all the notable items, et cetera, that we’ve disclosed. So, one way you might think of that, Rob, is to think about the discontinued earning – discontinued business, the operating earnings for the fourth quarter. On an operating basis, it came in at CAD120 million. And included in that were positive market impacts, assumption changes that related to that business, the impact of investing activity that I noted. And if you add all of those up, that would come to about CAD80 million. And you see, you could subtract that CAD80 million from the CAD120 million to get to a number of CAD40 million. And then you might want to relate that back to the earnings-per-share impact that we had given you previously for the business when we talked about the CAD0.22 per share, CAD130 million approximately for the year. And you would note that the CAD40 million I just mentioned doesn’t equate to – if you annualize that, you’re at CAD160 million. That does not equate to the CAD132 million. And you might have some questions around that. A way to reconcile back from that CAD132 million to the higher number is to think about what will happen at the time of close. As I mentioned in my remarks, we will repay debt and that will happen in June of this year. We will invest cash proceeds. We’ve taken a conservative view around how we will invest our cash proceeds and we will earn the return on certain assets that we’re not transferring over as part of the transaction. And those impacts would take you from that CAD132 million back up to the CAD160 million on an annualized basis. And I do apologize for going through all of this over of this over the call as opposed to having it all laid out, but you will appreciate that presenting our earnings on a continuing basis and a discontinued basis given that the transaction was announced at the end of the year was a complex task, and we’re happy to provide you with additional detail as we work through this.
Robert Sedran – CIBC: I appreciate the additional detail in discontinued operation, but I guess what I’m looking for more is more information on the continuing operations and that – why they might have been down only around CAD0.55 or CAD0.56 for the quarter if there was a sizeable market impact – a sizeable negative drag coming on a continuing operations, just more what I’m looking for, let’s say, bottom-up rather than top-down in terms of trying to get to where your earnings for the quarter came in and what might have moved the business that is going to last beyond Q2. And so, I guess, I’m wondering, is it largely market forces that were negative on the continuing operations, or is there something else going on?
Colm Freyne: No, I would think that we feel very good about the continuing operations. The discontinued operations did have an outsize impact and I’d reconcile that back to you. The best view I think is to start with the combined business and if you adjust for all the factors that we’d called out as being notable items, you do arrive at a number that’s around CAD390 million. It’s up to you, of course, as to which of those items you would adjust for on an operating basis we call out the earnings at being CAD420 million. But as I say, you would come back to that CAD390 million and then you would adjust for the core part of the discontinued business. And that brings you back to the operating – for the continuing business.
Robert Sedran – CIBC: Thank you.
Operator: Your next question comes from Peter Routledge with National Bank Financial. Please go ahead.
Peter Routledge – National Bank Financial: Hi. Thank you. I have two part on MSF. I’ll start with the easy part first. You reached your fund sales for the last four quarters looked to be averaging on net basis about CAD4 billion and it’s probably before the sort of improvement in the tenure of equity markets in North America just this first quarter, so what are you going to do this year? Can you hit like CAD5 billion in net sales, is that a reasonable expectation?
Dean Connor: Peter, it’s Dean. We’ve got Rob Manning on the line. And, Rob, why don’t you jump in on this?
Robert Manning: Your numbers are absolutely right. It’s going to really depend on whether the shift to equity continues to occur. What I can tell you is that we’ve had an all-time sales record in January. Now, part of that is seasonal because people fund their IRAs and other retirement accounts, but the early read is pretty positive because the equity mutual fund flows have turned positive. So, I’m going to let you model in what you think, but we clearly believe that the business can be up this year versus last year, and the way towards equities benefits the firm quite a bit.
Peter Routledge – National Bank Financial: I have a bit of a question on the share-based payments. You had three years of a cost of CAD80 million to CAD94 million from that line item and I know you classified it as operating or not operating or ongoing in nature, but the last three years seems to be at odds with that, and I just – what’s your response to that and what would your pre-tax operating margin be if you did consider those costs operational?
Colm Freyne: Peter, maybe – it’s Colm here. Rob, feel free to follow on. But I’ll jump in because in fairness, this is a Canadian IFRS overlay as opposed to a U.S. GAAP reporting requirement. Indeed, MFS on a U.S. GAAP basis continues to treat these compensation announced in respective options and accordance with option accounting and as is required under U.S. GAAP. So, under IFRS, the features of the plan require this to be treated as a liability type of award. We feel very good that it’s a large amount and while that may seem strange, it’s because it reflects the growth in the business and the value of the business. And of course, that value accrues to all of the shareholders including the management, minority shareholders and Sun Life Financial. And I think in terms of the operating ratios, I think, Rob, you’re a better place to speak to that, but I think that reflects a very solid operating result.
Robert Manning: Yes. The only thing I’d add on the operating margin as it’s reported here is that, as I described to all of you over the years that MSF built out this infrastructure and we’re beginning to fill our pipes with capacity and you’ve seen the margin begin to move up and our target with that levels around with AR as we continue to grow is to have a mid to high 30s margin. And I think you’ll begin to see additional improvement if assets stay where they are in the first quarter of this year.
Peter Routledge – National Bank Financial: Okay. And, I mean, at the end of the day, Colm, is this a cost to Sun Life shareholders, the share that? I mean, I know it’s non-cash and I respect that it’s an IFRS idiosyncrasy. But at the end of the day, if you’re just looking through the noise, is this just value that shareholders sacrifice?
Colm Freyne: Well, I think it really reflects the ownership of the firm and the alignment of the interest of all the shareholders and the value creation that’s undoubted at MFS accrues to all of the shareholders. So, I think, from a valuation perspective, I think the analysts community and the investors need to look through the reported results in order to be able to assess where that value creation is and I think many of you do that.
Peter Routledge – National Bank Financial: Okay. Thanks.
Operator: Your next question comes from Michael Goldberg with Desjardins Securities. Please go ahead.
Michael Goldberg – Desjardins Securities: Thanks. I’m going to ask something similar to Rob’s first question, but I think you gave a pretty good explanation there. So, my only question, you’ve highlighted the CAD160 million of Canadian wealth goodwill that may still be vulnerable to an impairment charge. If it’s going to happen, would it only be in the fourth quarter when you do your annual review, or could it be earlier?
Colm Freyne: Yes. Good question, Michael. And we did signal this in the third quarter as being a topic for review and we do our detailed review annually. That doesn’t mean that if an event occurs throughout the year that we are not required under accounting standards to revisit that, but we don’t anticipate revisiting this item until the fourth quarter. And the reason we call that out is if you will recall a year ago, we took a write-down on that goodwill. So, we brought it right down to its fair value and obviously, given the nature of the business, we needed to take a pretty hard look at it in the fourth quarter than we signaled that in the third quarter. I think we were pretty clear in the call last quarter that we weren’t pre-signaling that we intended to take a write-down but we just felt it was important and prudent to advise investors that the annual review takes place and if it requires a write-down, a write-down will occur.
Michael Goldberg – Desjardins Securities: So, why specifically – what else will ultimately happen where you concluded that it wasn’t necessary at year-end appear to take that charge?
Colm Freyne: Really, what happened was we concluded that the value to which it had been written down the prior year will continue to hold and all of the actions that Kevin and his team in Canada have taken around that business. And it’s continuing to reposition the business for profitability, our maintaining value, and I would hope, the adding value over time. And we’ll see that.
Michael Goldberg – Desjardins Securities: Thank you.
Operator: Your next question comes from Gabriel Dechaine with Credit Suisse. Please go ahead.
Gabriel Dechaine – Credit Suisse: Hey. Good morning. Just a quick one on the strain, Colm and Dean, you made it seem like that the lower strain this quarter is a sustainable figure given some of the repricing action you have taken because you had a gain in Canada. I was just wondering if that’s sustainable.
Colm Freyne: Yeah, Gabriel, it’s a good question. And this topic of strain obviously has come up. I mean, it continues quite rightly to come up. The amount that we have last quarter was mid-40s, CAD46 million. And I think we signaled that we have taken actions that we would see that come down. And it came down to CAD27 million. It’s a little difficult to latch on to that amount and say that’s the new run rate. There’s a seasonality to these things depending on sales, et cetera. But we feel pretty confident that we have taken and continued to take actions to continue to manage this down, certainly below that level that you saw in run rate last year. And CAD27 million is a great result for the fourth quarter. It’s possible that it could bounce up a little bit in Q1 if, for example, we have some sales programs, et cetera. India, for example, is a big sales quarter, generally in the first quarter. So, you’ll see that bounce around a little bit. But certainly the trajectory is in the right direction.
Gabriel Dechaine – Credit Suisse: Okay. Just a clarification, your fully diluted share count is 607, but the number you used – million. The number you used in the CAD0.22 dilution from the sale of the U.S. business was 600 million. Is that an apples-to-apples comparison in terms of fully diluted risk?
Colm Freyne: Yes, it is. So, the 607, that bigger number, is a result of the IFRS requirements around (inaudible).
Gabriel Dechaine – Credit Suisse: Okay. So, maybe more broadly on the capital management front, Dean. You’ve made a relatively small acquisition, more of a growth-oriented one. I’m just wondering what the investors should expect once you close the deal of the U.S. sale, what your bias is towards the base or are you funding organic growth? Are there that many opportunities or something more returning capital of shareholders?
Dean Connor: Well, Gabriel, our first and primary focus is on organic growth and growing the business is in our four pillars. And as we said almost a year ago at Investor Day, we see a lot of opportunity in all four pillars to grow the business. And I tell you, that is our primary focus. We – I’ve said this before that we are in a deal flow, we’re being selective. We’re looking at things that we think we’ll – where we can create value from them. And I called out the Grepalife acquisition previously. And we do believe that the Malaysian acquisition will be exactly in that category of value creation. But I’ll tell you, our first focus is organic growth and to create value for shareholders. As far as the proceeds of the sale of the U.S. Annuity Business, I just remind everybody that it has not closed. We were working really hard on that. There’s a lot to do to get that, to cross the go line and it’s progressing well. I would say to you that we’re quite pleased to have the additional liquidity on our balance sheet. Steve Peacher has said before that he is working on approaches for deploying more of our liquidity into investments that have stronger yields and you saw some of that in the fourth quarter coming through. So, we’ll be prudent with it and we think it puts us in a very nice position.
Gabriel Dechaine – Credit Suisse: So, there’s no – I guess, given the regulatory climate right now, is it something that makes you hesitant to even talk about deployment, buyback or something like that?
Dean Connor: Well, you call out the capital framework that OSFI is working on and I think that’s a fair point to think about. We said before that the early work on the capital framework we view as positive and that it confirms that the industry has enough capital and aggregate, that insurance companies are indeed different than banks and that we would like to see or we would expect to see credit for hedging in our Canadian seg funds, capital credit for hedging. So, those are all positives. But as I’ve said before, the devil will be in the detail and given the uncertainty, again, we’re happy to have that additional flexibility on our balance sheet.
Gabriel Dechaine – Credit Suisse: Thank you.
Operator: Your next question comes from André Hardy with RBC Capital Markets. Please go ahead.
André Hardy – RBC Capital Markets: Thank you. I’m looking at the growth and value of new business from CAD620 million to CAD853 million year-over-year on a trailing 12 months basis. How much of that came from higher sales versus margin improvement?
Colm Freyne: Well, a good portion, André, has come from the MFS sales. So, we’re certainly seeing the contribution that’s included in those numbers, but we also have good results in the businesses, and maybe I’ll look to Kevin or Wes to comment on value of new business creation in their businesses.
Kevin Dougherty: In Canada, VNB was up about 9% on the year. That was the combination of much better mix of business, also some headwinds in terms of methodology. So, it’s hard to put a precise number on it, but I would say this is very much – we saw good sales in Canada, pretty well right on plan, and growth in VNB.
Wes Thompson: And in the U.S., we saw good sales, strong sales growth and good – strong VNB of about 70% over prior year. And also reflected in that is the strong voluntary sales in 2012.
André Hardy – RBC Capital Markets: Just to clarify on strain, and I don’t know if it’s for Kevin or for Colm, but you had actually a positive impact from new sales in Canada. Is that something that you’re thinking last over time?
Kevin Dougherty: Yes, we do. We’ve really done a lot of work around repricing. We’ve done a lot of work around product mix as well. And we’ve got the table set really quite nicely now for – I think we’ve basically eliminated strain in the Canadian portfolio and continue to see a positive contribution there.
André Hardy – RBC Capital Markets: Thank you.
Operator: Your next question comes from Tom MacKinnon with BMO Capital Markets. Please go ahead.
Tom MacKinnon – BMO Capital Markets: Yeah. Thanks very much. A couple of questions here. I guess the first one is, we’ve seen a trend here now of expense-related experience losses now for at least four quarters in a row. And they’re obviously very high in this quarter. How should we be thinking about these things going forward? And if I’m looking for the last five quarters, they’ve been in there and you’ve noted them. Should – aren’t they really becoming more recurring than non-recurring? And if they’re related to trying to grow your business especially in EBG in the U.S., why were you actually are trying to grow your sales 25% year-over-year, and you did in this year, then why aren’t they necessarily treated more as recurring rather than kind of notable items? And I have a follow-up.
Dean Connor: So, Tom, you’re quite right to point out the experience in the fourth quarter of significant amounts of CAD67 million. If we look at the full year, and you’re right that we’ve had items in this line item over previous quarters, it’s CAD90 million. So, two-thirds of it is really coming through in the fourth quarter, if you annualize – look at the full year view. We feel that we are managing our expense program effectively. We think that it’s not indicative of a run rate problem. And if you really deconstruct it, you find that it reflects deliberate investment as you quite rightly point out, U.S. voluntary is a key component of that. But there are other areas such as various outsourcing projects in the United Kingdom. We’ve talked about Solvency II initiatives in the United Kingdom that would not be considered run rate, albeit, they have lasted for some time, but we have now really implemented the requirements there. So, we feel that they are – rightly categorized these projects in many of the cases. They do, in fact, represent some other onetime items. It could be a miscellaneous collection of reinsurance. Arbitration settlement, for example, was an item we had this quarter, certain corporate development cost. You’ve noted that we’ve been quite active over the past years. So, these items get captured in this bucket, but the key takeaway is that we don’t see it as a being characteristic of an organization where the expenses are running ahead of the maintenance requirements and allowable. But perhaps on that note, I would just hand it over to Wes to speak a little bit about the voluntary in the U.S. because that is a fairly significant piece of the program.
Wes Thompson: As I look at the results in 2012, I think, first, I would just say that as I’ve said previously, in our group business, we do expense the distribution and acquisition cost up front due to the short term nature of those contracts. And so, we had increased sales, 26% overall, so that would drive some increases in the overall expense, it reflects in strain. And we did, as planned, invest in our group and on voluntary business capabilities. So, we see those as sustaining our opportunity for growth in the future. And overall, as we look ahead and we saw this year, as a percentage of sales, we do expect strain to reduce fairly significantly over time.
Tom MacKinnon – BMO Capital Markets: Okay. Thanks for that. And then I guess one follow-up is for Dean. Without the benefit of the U.S. Annuity earnings here, really how comfortable are you with you CAD2 billion 2015 target? We could argue that, A, they weren’t run-off to maybe when you set that target, but they were going to be here for a long time and now they’re gone immediately. So, to what extent should we be looking at your ability to hit that target without the benefit of that?
Dean Connor: Well, Tom, as we’ve said in December that following the close of the transaction we will come back to investors and restate our 2015 objectives. And we expect that to towards – we expect to come back to investors towards the end of the second quarter. And at this time, we expect that we will adjust the U.S. objective to reflect the sale of the annuity business in line with the CAD0.22 that Colm described in December and described again today.
Tom MacKinnon – BMO Capital Markets: Okay. Thanks for that.
Operator: Your next question comes from Joanne Smith with Scotia Capital. Please go ahead.
Joanne Smith – Scotia Capital: Yes. I just have two quick questions. One is regarding the adverse or less favorable mortality in the U.S. employee benefits business, as well as the adverse morbidity. I note that the experience was dissimilar from the third quarter but there had been a couple of other quarters where you had some negative morbidity and mortality experience and that also seems to be happening across the industry. So, I was wondering if Wes could just address that question and then I have a follow-up.
Wes Thompson: Okay. Yes. What we’re seeing, Joanne, is incoming claims are, as we described in the notices, are actually lower than most of the quarters over the past two years. However, the average reserve per claim has been increasing which reflects growth in the average gross benefits and we pointed that out also in the Q3. And as we saw this trend emerging last year, we did take rate actions in Q3 of 2012, particularly in our LTD business where we increased our – excuse me, our standard rates from annual rates by 8.2% and we’re, obviously, applying that to all new business and renewals. I’d also remind you that in Q3 2011, we applied about a 7% rate increase on our SCD business and that has actually had good effects in that area. So, nothing systemic again that we’ve seen, I’ve said that before but we have taken action and we’re taking a disciplined approach to underwriting new business also.
Joanne Smith – Scotia Capital: Okay. Thank you for that, Wes. And then just on – in terms of Asia, I’m trying to understand where we are in terms of the core earnings in the Asia operations and where they’re going from here. You’ve had some – a little bit of disappointing sales in India and there were down sales in China. Philippines appears to be on track, but I guess I’m just wondering if you could comment on kind of the trends in core earnings in Asia. And also if you could give us an early indication of what you think there will be in terms of any accretion from the Malaysian acquisition that you’re doing?
Dean Connor: Okay. Joanne, I’ll take the first piece and then Colm will talk about the Malaysian transaction. Asia is a series of moving parts as you’ve identified and if you look at the three businesses that are wholly owned, sales were up 18% year-over-year for those businesses, then headlined by the Philippines as you noted. And in India, it’s been a challenging environment since the regulatory environment shifted in 2010. And I would say, there, the Sun Life Insurance and in fact the industry is still finding its footing in terms of products, in terms of sales, in terms of strain. We have made progress in India in the sense that we’ve just rolled out four new products. We changed the product mix in the last year towards more profitable products, and that’s in part what is contributing to the improved strain number you see coming through in Q4. And the same applies to China. You’ll see a reduction in our sales in China, in part that is reflecting a shift that we’re working on with our partners to shift away from single premium business all through the bank channel to more regular premium business. And so, in the second half of the year, regular premium business was up to 40% of sales from 10% in Q1. So, very good progress on that front also contributing to the improvement in the strain position. Although it obviously has a negative impact on sales, we are very focused in both China and India on driving VNB growth as opposed to top-line growth. And so that’s what you’re seeing coming through in the sources of earnings. I would say, you stand back from Sun Life, and you think about Canada as a very strong business, a strong franchise, leading market positions, growing our business. The U.S., a very strong position in group benefits – voluntary benefits with great leverage from the Canadian benefits platform and a really nice opportunity to grow that business. MFS firing in all 12 cylinders. And when we think of Asia, we think of this as a mid- to longer-term opportunity. And you can see us through our actions product pricing, product changes, expanding the footprint, you can see us laying the foundation for future profitable growth. So, let me, with that, turn it over to Colm to talk about transaction in particular.
Colm Freyne: Yes. And, Joanne, so from an EPS perspective, the transaction really in the first couple of years is neutral. And the reason for that is it is a profitable business as you know and we’re buying a business that’s operating today. But the impact of the accounting is that you set up an intangible asset for the bancassurance contract that’s embedded in the price that we’re paying and you amortize that. So, from – when you go through all of that, you end up being neutral. And in fact, in the first year, we’ll be spending some money to get everything up and ready and running. It will contribute by 2015, but the takeaways of the amortization of the intangible tend to offset the pickup from earnings.
Joanne Smith – Scotia Capital: And, Colm, revisit the question about how should we look at kind of core earnings right now and how comfortable are you with the CAD250 million target for 2015?
Colm Freyne: Well, I think, Dean has mentioned already that we’ll be looking at the overall levels in one we come back to that investors by midyear and he specifically commented on the U.S. But I think, as we look at that overall, we’ll be taking another look at the components. That’s not to say that we’re, at this point, giving you any additional information around that. But clearly, if we come back and as we will come back, we’ll take a look at that overall.
Joanne Smith – Scotia Capital: Okay. Thank you.
Operator: Your next question on the line comes from Mario Mendonca with Canaccord Genuity. Please go ahead.
Mario Mendonca – Canaccord Genuity: Good afternoon. I want to follow up on a question that’s already been asked on the MFS awards. Those are share awards. They’re settled in whose shares, not MFS or Sun Life’s shares. So, how are those actual awards settled, like how are the employees actually paid
Dean Connor: Rob, did you want to comment on that?
Robert Manning: Well, what we have at MFS is a private formula value for the employees of given stock base to offset formula value. And as that stock vests, MFS buys those shares back and delivers cash, that’s settled to the employees. And that formula value has been back-tested for 15 years. And it has a 99% R-Square with the publicly traded assets firms. But the formula is based off of percent of assets and percent of pre-tax profits in a multiple of revenues.
Mario Mendonca – Canaccord Genuity: So, eventually it’s settled. It has to be settled in cash, like, these folks are paid money because – like, cash because there’s no such thing as an MFS share.
Colm Freyne: Well, there is. Let me...
Robert Manning: (Inaudible).
Colm Freyne: Go ahead, Rob.
Robert Manning: Go ahead, Colm. Colm, why don’t you take it?
Colm Freyne: What I was going to say, of course, there is an MFS share. And that’s, as Rob described, that’s exactly how it works. And this program, when we operated under previous Canadian GAAP before IFRS, was treated as a stock option. It continues to be treated as a stock option in the United States, and it’s a feature of the IFRS change. We spent considerable time on this topic when we adopted IFRS. And, Mario, we’re really happy to take this off line with you to go through the accounting requirements.
Mario Mendonca – Canaccord Genuity: Yeah. I understand the accounting requirements. I guess what I’m getting at here is, over the last three years, the – this amount that we’ve treated as non-operating has amounted to about a third of Sun Life’s earnings. And that’s a third – sorry, MFS’s earnings. That’s a third every year. And because it’s ultimately settled by MFS paying cash, why is it appropriate to not treat this as real – as a real expense? What I’m getting at is, if you’re giving a third of the earnings to the employees, is it appropriate to really think of Sun Life as owning 100% of MFS?
Colm Freyne: Well, we don’t think of ourselves as owning 100% of MFS. I think it’s very important under the contract that we have a very engaged management team at MFS that has direct ownership in the business, and it’s worked extremely well. I think the point really is around valuation and if you apply an insurance multiple to the MFS earnings, one could argue that that’s not appropriate factor either. So, I think it really comes down to how you think about MFS within the overall Sun Life Financial enterprise and I think your question is really around valuation and I think there are different ways for investors to approach the valuation question.
Mario Mendonca – Canaccord Genuity: Okay. You said that you don’t think of yourself as owning 100% of MSF, is it – do you sort of conceptually think of Sun Life was owning about two-thirds of MFS then?
Dean Connor: No. We own effectively – Dean here, Mario.
Mario Mendonca – Canaccord Genuity: Hi.
Dean Connor: We effectively have economic interest of around 90%, 91%, something in that range. And I just want to add to Colm’s point around how we think about this? I mean, it’s interesting, the accounting rules require you to mark this stuff to market and we don’t – if you wanted to follow the same logic, you’d say, for the 90%, 91% that Sun Life shareholders own, should we be marking our shares to market, through the income statement, which we don’t do, of course. It shows up – it’s a capital valuation issue as opposed to an income issue. So, it’s a little perplexing to me that the accounting rules worked this way for – but then again, I’m an actuator not an accountant, so I’ll just stop there.
Mario Mendonca – Canaccord Genuity: I think, Dean, the real – the reason why we’re asking the question is, number one, the numbers are getting large. And number two, this is – it’s not appropriate to call this a non-cash item. Eventually, dollars come out of MFS’ coffers to pay for this, so there’s a consequence to this like a real dollar consequence. And perhaps this is something we can think about over time, but it doesn’t – it doesn’t really make a lot of sense to treat these as non-operating when in fact they’re settled ultimately for cash. Just move on to one quick other question. Just on the tax rate, excluding MFS, the numbers look pretty light, 11% tax rate excluding MFS. So, I think it’s an appropriate way to look at it because I think you’re rightfully call it MFS separately. How does 11% – does that feel like a sustainable number for a company operating in Canada, U.S., and Asia?
Dean Connor: Well, I think on the MFS piece, again, I would not extract MFS because in the United States, we do file on a consolidated tax basis, so MFS is very much part of our tax profile in the United States. And if you subtract MFS, you’re taking out a high-tax rate jurisdiction. So, consequently, you will get back to a lower rate. We are – and we look very hard at the range that we have for tax rates. We look at it every quarter and we continue to feel that the 18% to 22% range is the appropriate range. And indeed, on a continuing basis, once the sale of Sun Life U.S. closes, we continue to believe that that will be appropriate range. Albeit, we might be at the higher end of that range. So, we feel it’s sustainable. It’s something we examine very closely, and we think that range is the right range.
Mario Mendonca – Canaccord Genuity: Thank you for indulging my questions.
Operator: The next question on the line comes from Doug Young with TD Securities. Please go ahead.
Doug Young – TD Securities: Hi. Yes, most of my questions have been answered. Just wanted to go back quickly and I don’t want to belabor this. But the core and – maybe I’ll just kind of walk through and you can kind of point me at where – maybe I’m wrong. So, I think there’s still a lot of confusion around quarter-on-quarter and what it could look like in Q1. So, the way I look at it is I take CAD392, which you’ve stated that by removing other notable items. And that’s about CAD0.56 per share. If you think of what it’s going to look like on an ongoing basis, you remove basically CAD5.5. So, you get the CAD0.60 to CAD0.61 excluding the discontinued operation on a core basis. And then you’re saying in Q1, it’s going to look a little bit worse because of just a pre-transaction or the post-transaction adjustments haven’t gone through. So, maybe you get the CAD0.58 would be comparable to what we should think of on Q1. And I know strain is a little bit lower. Earnings on surplus was also a little bit lower. Is that the correct way to think of it, or am I missing something?
Dean Connor: Yes. I think you’ve relayed or replayed the items that I spoke about at the beginning of the call, Doug. So, I think that’s a reasonable way to look at it. And we do appreciate that the continuing and discontinued operations does add complexity. And we will, over the course of the first quarter, will be reporting on this basis and we’ll provide more clarity at the end of the quarter. But I think you’re generally in the right direction.
Doug Young – TD Securities: So, that does mean that you can see that may change in forward quarters that would take us drastically away from those numbers that I just quoted?
Dean Connor: No. I think the way I look at it really is to take that CAD392 million as you noted after all of those notable items and to say how do I adjust for a business that’s reflected within that and also the fact that there are certain transactions that will create some value for us once the sale occurs. So, it’s triangulating against a couple of different data points. So, one has to apply some judgment. And I will remind you that, of course, it’s all forward-looking and the real world will play out as it does.
Doug Young – TD Securities: Okay. Thank you.
Phil Malek: John, it’s Philip Malek. We have time for one more question before we end today’s call.
Operator: Thank you. Your last question will come from Darko Mihelic with Cormark Securities. Please go ahead.
Darko Mihelic – Cormark Securities: Hi. Thank you. I guess I’ll have about two last questions. I just want to revisit Asia and what I see here in Asia, and I’m going to ask the question in a certain way. I see premiums and deposits up 45% year-over-year; 31% quarter-over-quarter. I have AUM growing at 20% year-over-year and wealth sales are up almost 100% year-over-year. So, apart from a little bit of weakness in insurance sales, I see an awful lot of value creation there, but I still see expected profit going down 7%. So, my suspicion is – nature of these sales and you’re building a lot of networks, what I’m ultimately aiming at here is that what point do you think we could see expected profit start to behave the way we should think about with double-digit growth? And then my last question is, for Dean, now that the VA business is out of the way, are you largely satisfied that you produced the volatility of Sun Life in its earnings stream or do you think there’s still an awful lot of way to go before you’re satisfied? Thank you.
Dean Connor: Darko, on your first question around Asia, you’re right to call out the wealth sales, and the wealth sales show up in Asia, in our Hong Kong Mandatory Provident Fund business which is a very successful business. We’ve had terrific sales growth in 2012 and very good progress on the employee choice arrangement that was introduced in November in the industry and our progress there has been very strong. We also have 50% ownership of Birla Sun Life Asset Management and it continues to perform well as a top rated mutual fund company in India. And our mutual fund business in the Philippines is doing well as well although it’s a relatively small part of the business. Your question is, at what point do you – should we expect to see expected profit turn around, and I think I’d come back to China and India in particular and say, there’s a lot of work underway to reposition the product set in both countries to a product set that has better economics and better sustainability. It’s been a pretty traumatic change in the Indian industry and I would say all the – we’re holding our own in terms of position in the market, but all the players are working through how best to restructure the products to work in that environment. As I said, we filed four new products. We’ve started to sell four new products and the early indications are positive from those four products. So, I’m not going to be specific and name a quarter or a particular moment when we should expect to see expected profit growth. I would tell you that there’s a lot of action under way and as I’m saying that I’m thinking at a future call, we should provide you with more detail as to what exactly is under way and we’ll get Kevin Strain who runs Asia to do that for us. On your...
Darko Mihelic – Cormark Securities: I guess – sorry. I guess, just to interject real quickly, it doesn’t sound like it’s eminent anyway.
Dean Connor: I think that’s a fair conclusion. And then on your second question around the volatility, post the sale of our U.S. Annuity Business, as Colm pointed out, we will have significantly reduced the equity and interest rate sensitivity to the business. And I would also point out some of the earnings volatility has come through our annual review of assumptions in the business and we’ve had – we had some reserve strengthening in the third quarter of last year around policyholder assumptions in the USDA business. And as we part ways with that business, when you put all of that together, that’s a significant reduction. So, it’s not just the equity and interest volatility, but it’s the whole – it’s all of the moving parts including policyholder behavior for that – for the U.S. VA and SA business that I think is really going to set us apart and make a big difference in reducing the volatility of the business.
Doug Young – TD Securities: So, you are satisfied then? You’re pretty much sure about that?
Dean Connor: Yes.
Doug Young – TD Securities: Great. Thank you very much.
Phil Malek: Great. And thank you, John. We are out of time for today’s call. I’d like to thank all of our participants for their questions. And if there are any additional questions, we’ll be available after the call. Should you wish to listen to the rebroadcast, it should be available later today on our website. And with that, I’ll say thank you and good day.
Operator: Ladies and gentlemen, this does conclude the conference call for today. Thank you for your participation. You may now disconnect your lines.